Operator: Good afternoon, ladies and gentlemen and welcome to GSI Technology's Second Quarter Fiscal 2015 Call. Before we begin today's call, the company has requested that I read the following Safe Harbor statement. The matters discussed in this conference call may include forward-looking statements regarding future events and the future performance of GSI Technology that involve risks and uncertainties that could cause actual results to differ materially from those anticipated. These risks and uncertainties are described in the company's Form 10-K filed with the Securities and Exchange Commission. Additionally, I have been asked to advise you this conference call is being recorded today, the 30th of October 2014, at the request of GSI Technology. Now, I’d like to turn the call over to Lee-Lean Shu. Please go ahead.
Lee-Lean Shu: Good afternoon, everyone, and thank you for joining us. Today, we reported second quarter net revenues of $13.3 million, that came in towards the higher end of the guidance that we had projected earlier in the second quarter and reflecting continuing softness in the telecommunications and the regulatory markets and weak sales in Asia. However, second quarter gross margin was very strong at 45.7%, well above our operating model, due to favourable product mix of higher margin cost. Litigation-related expenses in the second fiscal quarter was $1.5 million, down from $1.8 million in the previous quarter and $1.7 million in the same period a year ago. The litigation-related expenses, again, were primarily associated with the pending patent infringement and antitrust litigation involving Cypress Semiconductor. We also had some additional expenses related to consultation with our financial and legal advisors in connection with our four parameters review of GigOptix in corporate, unsolicited, non-binding and conditional proposal to acquire the company publicly announced on August 19, 2014. The Board’s unanimous decision to reject the proposal was announced on September 8, 2014. We currently expect litigation-related expense to be approximately $2 million in the December quarter, and we expect to go to trial for our antitrust suit against Cypress in February of next year. Also, to enhance shareholder values in the second fiscal quarter we completed a modified Dutch Auction tender offers and repurchased $25 million of our common stock. GSI Technology has accepted for purchases an aggregated of 3,846,153 shares of our common stock as final purchase price of $6.50 per share, for an aggregate cost of $25, excluding fees and expenses related to the tender offer. The aggregated number of shares purchased in the tender offer were approximately 14% of our issued and of any share of our common stock prior to the tender. We continue to invest in R&D to deliver innovative products to our customers. We are the leader in [Indiscernible] and we are excited that by our continued expansion into low-latency DRAM markets. Several key customers are continuing their evaluation of these products and we expect shipment volumes to increase over the next several quarters as these key customers complete their evaluation and qualification process. With that, I will now turn the call over to Doug
Douglas Schirle: We reported a net loss of $950,000 or $0.04 per diluted share, and net revenues of $13.3 million for the second quarter of fiscal 2015 compared income of $386,000 or $0.01 per diluted share or net revenues of $15.5 million in the second quarter of fiscal 2014; and a net loss of $1.5 million or $0.05 per diluted share on net revenues of $4.9 million in the first quarter of fiscal 2015 and to June 30, 2014. Gross margin was 45.7% compared to 47.6% in the prior-year period and 45.9% in the preceding first quarter. Total operating expenses in the second quarter of fiscal 2015 were $7.1 million, down from $7.2 million in the second quarter of fiscal 2014 and $7.4 million in the preceding first quarter. Research and development expenses were $2.9 million, down from $3 million in the prior-year period and $3.1 million in the preceding quarter. Selling, general and administrative expenses, which include litigation-related expenses, were flat year-over-year at $4.2 million and down slightly sequentially from $4.3 million in the preceding quarter. Second quarter fiscal 2015 operating loss was $1 million compared to operating losses of $1.5 million in the prior quarter and operating income of $241,000 a year ago. Total second quarter pre-tax stock-based compensation expense was $571,000 compared to $573,000 in the prior quarter and $563,000 in the comparable quarter a year ago. Depreciation and amortization expense was $421,000 for the quarter. Sales to Alcatel-Lucent were $3.2 million or 24% of net revenues during the second quarter compared to $3.2 million or 24.6% of net revenues in the prior quarter and $3.2 million or 20.4% of net revenues in the same period a year ago. Second quarter direct and indirect sales to Cisco systems were $1.9 million or 14.3% of net revenues compared to $1.8 million or 14.3% of net revenues in the prior quarter and $3.4 million or 22.2% of net revenues in the same period a year ago. Military defence sales were 21.6% of shipments compared to 15.2% of shipments in the prior quarter and 4.3% of shipments in the comparable period a year ago. SigmaQuad sales were 38.1% of shipments compared to 43% in the prior quarter and 42.3% in the second quarter of fiscal 2014. At December 30, 2014, and subsequent to the completion of our trade [funding] our tender offer the company had $62.7 million in cash, cash equivalents and short-term investments, $19 million in long-term investments, $34.2 million in working capital, no debt, and stockholders' equity of $101.3 million. Accounts payable at September 30, 2014, was $3.7 million compared to $4.9 million at March 31, 2014. Net inventory was $9.2 million at September 30, 2014, up from $8.2 million at March 31, 2014. Inventory turns at September 30, 2014, were 3.1x compared to 3.4x at March 31, 2014. Looking forward to the third quarter, we currently expect net revenues to be in a range of $13.2 million to $14.2 million, with gross margin of approximately 43% to 45%. Operator, at this point, we will open the call to Q&A.
Operator: (Operator Instructions) And our first question today comes from Mike Crawford with B. Riley & Company.
Mike Crawford - B. Riley & Company: Thank you very much. Regarding strategic alternatives, would the board be more willing to consider offers that included more equity upside for shareholders to enjoy the benefits of combining with another company?
Douglas Schirle: I don’t know that it necessarily involves equity. I think it’s a matter of opportunities that the Board feels are compelling for shareholders.
Mike Crawford - B. Riley & Company: Given that the company invested $25 million in a tender offer. It’s a $50. Is there another $25 million, you can maybe put towards the buyback and then your stock price is well below that price today?
Douglas Schirle: We currently have a buyback program that the board has approved. We have a $12.1 million still available under that plan and our intent is to continue buybacks. The issue we have is that we don’t currently have 10b5-1 plan in place, but we intent to do that. We could have done it last quarter with material, non-public information available with the company we and our Attorneys don’t feel its appropriate during last open window in August to put a plan in place. But we have had discussions in fact in our board meeting last night we talked about it and the intent is bargaining non-public material information we plan to have 10b5-1 plan in place. And we do intend to utilization that $12.1 million to buyback our shares.
Mike Crawford - B. Riley & Company: Thank you. And then, regarding the business, thought you just touched through some developments like progression and becoming second source, what use to be Samsung market share and also sampling and production related to some of the newer products coming out or if yours in -- Moody?
Didier Lasserre: So, Mike, this is Didier. Regarding the Samsung business, we’re certainly seeing some calls opening and as we’ve discussed in past calls it certainly is into a level that any of the SRAM remaining, SRAM suppliers had anticipated. Certainly, we’ve seen some -- as I mentioned in some call that I’ve opened up, that we know were historically Samsung business. But in general, those calls are -- I think are going to happen or open up more on a needed basis or on a convenient window for the customer. Again these calls aren’t cheap and if they are getting support from a supplier right now to add another source is certainly not a high priority at this point. As far as new products, we’ve obviously been discussing the LLDRAM. We had actually our largest revenue quarter in that products family this past fiscal second quarter. I was still continuing to post calls, certainly we have a couple of our larger calls are still open that we’re looking to close. So we’re hoping to obviously increase quarter-over-quarter what the revenue from that family represents. As far as other new products, we have our highest density 288 megabits SigmaQuad family, which again competes with the QDR Consortium. This is a SigmaQuad-II and 2 quads and also has three functionality, which is the world’s leading density that no one else has. We are [software] silicon while back has a small bug which we fixed and we’re now have the second silicon samples in-house that we think are going to be the devices we released to the customer base for that. So, certainly we have some more momentum on that front. Looking forward, we have our LL3 which is our next generation, LL family, which is a follow on to the LL2. With that family, we have seen the first silicon and we’ve also debugged and we have just kicked out two weeks ago for our second generation, our second silicon I should say, so we should be seeing that in the fourth quarter as well.
Mike Crawford - B. Riley & Company: All right. Thank you very much.
Operator: And next we’ll take Kurt Caramanidis with Carl M. Hennig Incorporated.
Kurt Caramanidis - Carl M. Hennig Incorporated: Hi, guys. As you know I’ve been a long time, firmly has been a long time shareholder. And just a couple of thoughts, I do have to say, I was disappointed with the Golden Parachute as well taking a beating, and I guess I’ve got a couple of thoughts on what I would like to see here. I would like to either see from engagement with GigOptix and/or take the company private maybe around $7 if you are very confident about the future. I’ve kind of been in confident camp for three or four years. And then give the shareholders the contingency for half of an proceeds one in the antitrust, because it just been a long battle and I don’t see -- I just don’t see what the plan is here. So I’m disappointed there’s really no engagement and if you’re real confident I think you probably could take a private for $7 first the contingency and then that you’re happy we’re happy?
Douglas Schirle: I just closed the discussions for board. We’ll let them know your comments.
Kurt Caramanidis - Carl M. Hennig Incorporated: I appreciate it.
Operator: (Operator Instructions) Next from [indiscernible]
Unidentified Analyst: Doug, Didier, I want to echo the thoughts that were just mentioned on the phone. I’ve been a long time shareholder. I’m disappointed there’s been no engagement, obviously going back in time there been other strategic partners who had interest in combining with the company. You guys a run rate of $13 million to $14 million of revenues per quarter. You have no business been public. You’re just too small. It’s been two arduous of a task with regards to the time line in terms of the litigation. I’m disappointed we’ve seen no engagement as well. And obviously there are other alternatives as to going private. The tender offer really did -- obviously did not have its intended consequences. How do you respond to these comments, specifically to you continuing to run a company with $13 million to $14 million of revenues as a public company with fairly significant corporate overhead including Golden Parachutes and the shareholders are languishing?
Didier Lasserre: Well, as I said to Kurt, we hear your comments; obviously we’ll take those comments to the board and discuss them with them.
Douglas Schirle: And Ted, keep in mind, we’re certainly looking to grow revenues obviously, you’re right, we have been in that range you mentioned. Certainly we were up slightly this quarter while most of our peers were down. We’re getting up bit more while a lot of our peers are getting down. So we’re hoping we have some momentum going forward. But in general obviously with the litigation which a lot of its going to come to head in the first in the second quarter counter next. We’re hoping between getting the litigation behind us and certainly getting some of these new products on the line that we [consorted] to show on the revenue growth we had in the past.
Unidentified Analyst: Thank you.
Douglas Schirle: Thanks Ted.
Operator: (Operator Instructions) And it appears that we have no further questions this time. I’ll turn things back over to management for additional or closing remarks.
Lee-Lean Shu: Thank you all for joining us. We look forward to speaking with you in January, when we will report our fiscal third quarter results. Thank you.
Operator: That does conclude today's conference. We thank you for your participation.